Unknown Executive: Thank you for waiting. We now start the net conference on the financial results for the first half of fiscal year ending March 2024. I am [ Nakao ] from the IR Office, Financial Planning Division. I will serve as the MC today. Thank you for joining us out of your busy schedules. First, our Senior Managing Corporate Executive and Group CFO, Tetsuya Yonehana, will give a briefing on the financial highlights for about 10 minutes. And then we will take your questions. The total length of the conference is expected to be about 50 minutes. Before we start the briefing, let me give you some reminders. In the briefing, we may talk about our future projections based on the current forecast. They are all accompanied by risks and uncertainties. Please be informed in advance that the actual results may differ from our projections. Now let's start the briefing. Over to you, Mr. Yonehana.
Tetsuya Yonehana: I am Yonehana. Thank you very much for joining us for this MUFG net conference. Please take a look at the material entitled Financial Highlights under Japanese GAAP for the First Half of Fiscal Year Ending March 31, 2024. I'll take you through the first half results and then we'll talk about shareholder returns. Please go to Page 7. I'll start from the income statement. MUFG first half results for fiscal 2023, as Line 17 in the left-hand table shows, profits attributable to owners of parent is JPY 927.2 billion, is an all-time high for half year results since the inception of MUFG. Achieving a full year target of JPY 1.3 trillion as well as our ROE target of 7.5% in the midterm management plan are well within our sight. Let me give you some breakdown. Line 1 gross profit is up JPY 163.9 billion year-on-year. Line 2 and below gives you the breakdown. In the first half, there are large swings in net interest income and net other operating profits. This is because in last fiscal year, JPY 490 billion in redemption proceeds of fixed income bear funds booked in net interest income in Global Markets Treasury operations was used to rebalance our portfolio, and recorded losses on the sale of foreign bonds booked in net other operating profit and losses. As a result, we have these movements between these accounting items. Also, in this half year period, with the drop in profit attributed to the sale of Union Bank, it's difficult to see the real change in profits. Let me try to give you how it looks on a real basis after excluding these factors. Line 2, net interest income, with higher rates overseas and improvement in lending margins, pushed up deposit and loan income and is up by about JPY 100 billion. Line 3, fees and commissions, with increases in overseas loan-related fees and security primary revenue, it's up by about JPY 110 billion. Sales and trading profits included in Line 4 also increased by about JPY 40 billion. So our gross profits are making solid growth. Next, Line 6, G&A expenses. With the impact of the sale of Union Bank, it's down by JPY 26.5 billion year-on-year. Line 21, expense ratio, in addition to expense controls owing to a large increase in gross profits, it's about 56.3%, down 5.1 percentage points year-on-year, demonstrating a major improvement. As a result, net operating profits in Line 7, more than offsetting the impact of the sale of Union Bank, is up JPY 190.5 billion at JPY 1,085.7 billion. It's a further improvement from an all-time high in the interim period last year. Next, Line 8, total credit costs. Credit costs of JPY 181.2 billion were incurred. At the bank, it increased due to the absence of the reversal of allowance of last year. But with the absence of valuation losses of JPY 231.9 billion on loans held by Union Bank recorded last year, credit costs are down by JPY 62.6 billion year-on-year. Line 12, equity in earnings of equity method investees. With the change of the closing date in the equity method accounting for Morgan Stanley, we have booked not the usual 6 months but rather 9 months of profits. And as a result, it's up by JPY 66 billion year-on-year. Lastly, Line 13, other nonrecurring gains or losses. Similar to total credit costs, with the absence of valuation losses of bonds held by Union Bank, losses were lower by JPY 315.3 billion year-on-year. As a result, Line 17, profits attributable to owners of parent is up 696.1 billion year-on-year at JPY 927.2 billion. Even when compared against last year's figure, after adding back the valuation losses of Union Bank, which were reversed at the end of last fiscal year, it is higher by JPY 248 billion. The ROE in the first half in Line 19 is at 10.65%. After excluding the impact of the change of the closing date in the equity method accounting for Morgan Stanley, it is 9.7%. Please go to Page 8. The graph in the lower left shows the breakdown of changes in net operating profits by segment. In the customer segments, GCB is down due to a drop in profits of about JPY 30 billion due to the sale of Union Bank. But other business group steadily built up net operating profits with increases in deposit and loan income and in fees and commissions. And as for the whole of customer segments, profits recorded a large growth of JPY 216.9 billion. In the Global Markets segment, the treasury business in the rising interest rate environment conducted flexible position management and maintained a high level of profits of the previous year. And with the increase in profits in sales and trading business, the segment as a whole posted increases in profits. Please turn to Page 9. Right side shows the changes in net income by business segment. While JCIB posted a decrease due to a rebound in credit costs from the previous year, other business groups posted an increase, thanks to higher net operating profits, resulting in an overall increase of JPY 53.1 billion in net income for the customer segments. Please skip to Page 11, which shows the balance sheet summary. In the left table, Line 2 and below, loans increased by JPY 4.4 trillion from March 2023, mainly due to an increase in Line 6, overseas loans, which was mostly due to FX impact or weaken. Line 12 and below. Deposits increased by JPY 4.2 trillion from March 2023, of which overseas deposits increased by JPY 3.8 trillion, which again is almost flat, excluding the FX impact. Page 12 shows the status of domestic loans. The lower right graph shows the trend of the domestic corporate lending spreads. The red line, lending spreads on large corporates, continue to improve. The orange line, lending spreads on SMEs, also shows a gradual improvement. Page 13 shows the status of overseas loans. The bottom line in the upper right graph shows the yield difference between lending rate and deposit rate on a nonconsolidated basis, which has been increasing steadily since FY '22, although it has recently declined slightly due to higher deposit rates. The lower right graph shows the trend of overseas lending spreads. Lending spreads continue to improve steadily as a result of our efforts to improve profitability. Please turn to Page 14, which shows the status of our loan assets. NPL balance in the left bar chart decreased slightly from the end of FY '22. And NPL ratio, shown by the line chart, remains at a low level. Please turn to Page 15, which shows the status of securities, including equity and government bonds. The upper left table shows unrealized gains and losses. Although unrealized losses on bonds have increased since the end of FY '22 due to rising interest rates, unrealized gains on domestic equity securities increased, thanks to rising stock prices. And overall unrealized gains on available-for-sale securities was JPY 1.4 trillion, which was in line with the end of FY '22. Line 8. Unrealized losses on foreign bonds at the end of September was about JPY 1.7 trillion. But as shown at the bottom of the upper right graph, unrealized losses in real terms, taking into account unrealized gains from hedging positions, was approximately JPY 0.8 trillion. We are firmly controlling unrealized gains and losses even as overseas interest rates rise and remain high. Page 16 shows our capital adequacy. CET1 ratio on the finalized Basel III reforms basis, excluding net unrealized gains, is 10.5%, which is above the target range of MTBP and continues to be adequate from the soundness perspective. Lastly, let me explain our shareholder return policy. Please return to Page 3. Dividend per common stock remains unchanged from the initial forecast of JPY 41 per share. In addition, based on the actual CET1 ratio as of the end of September and the outlook for the end of FY '23, we resolved today a share repurchase of up to JPY 400 billion in total, the largest ever for a half year period, in order to improve our capital efficiency. That concludes my explanation.
Unknown Executive: Thank you very much. Now we will take your questions. The first question is from Mr. Takamiya.
Ken Takamiya: I am Takamiya from Nomura Securities. I have 2 questions. It's about share buyback and the reason you kept the full year guidance unchanged. On the share buyback of JPY 400 billion, the largest for an interim period, what is your thinking behind the decision? Any implications on your approach to your capital policy going forward? Can you talk about the background of your decision of JPY 400 billion of your share buyback? That's my first question. The second question is why you kept your full year guidance unchanged. Your core business performance and your progress against the plan seem very solid, but you still kept your target unchanged. Can you talk about the background behind the decision?
Tetsuya Yonehana: Mr. Takamiya, thank you for the question. Your first question, the background of our decision of JPY 400 billion of share buyback. As I briefly discussed in my presentation, one factor was our capital ratio at the end of September, the level of the CET1 capital and the outlook for the year-end in March. Based on these considerations, we decided on the size of JPY 400 billion. Let me go into some specifics. In May, when we announced our results for fiscal 2022, CET1 ratio was 10.3% at March end. It was higher than our target range. But we decided not to do a share repurchase. At that time, right before that timing in March, there was the Silicon Valley Bank failure and bailout of Credit Suisse. And in April, there was the First Republic case. So we wanted to have more buffer in our capital, and that is why we decided not to do a share buyback. That was the biggest reason for not doing a share buyback in May. Thereafter, the events at these banks in the U.S. and Europe were found to be isolated cases and the spillover effects on regulation and the economy were apparently limited. So that is the biggest difference between our decision back in May and now. Against this backdrop, given the CET1 ratio at the end of September, and our projections for March, taking these into consideration in view of the headroom in our capital, we decided on the amount of JPY 400 billion. Now you asked us about its implications for the future. We will continue with our target range management. As to what will be the target range, we will be revisiting that in our next midterm management plan. But we will be managing our capital within a certain range, and that policy will be continued. And when we do so, obviously, with respect to capital, we will think about investment for organic and inorganic growth, as well as shareholder returns. And in terms of surplus capital, we will look into share buybacks. We want to have a well-balanced allocation, and that position remains the same. If we are not going to use our capital for strategic investments or organic growth, then we will use it for shareholder returns. That is our thinking. In the second half, including how we use our assets, taking into account our projection of our capital ratio at March end, we have decided on the amount of JPY 400 billion. Your second question, the background of our decision to keep our guidance unchanged. We did consider what to do with the full year guidance. As you said, for the first half, this year being the final year of the medium-term management plan, achieving the ROE target of 7.5% was a must. So we already had a challenging plan internally to start with, as well as challenging financial targets. Even setting aside the foreign exchange impact, progress in the first half, especially in the customer segments, was in excess of 110% against the plan. So it is very strong. Now on net operating profits, based on the first half actual results and the outlook for the second half, we took a fresh look at how it will be this fiscal year. In Global Markets in Treasury business, we frontloaded profits in the first half. And in the second half, in line with the initial plan, we will generate some losses mainly from foreign bonds. So a level in line with the initial plan is being expected. In Customer segments, in the second half, we expect that a high level of profits can be achieved as before. And overall, excluding the impact from foreign exchange fluctuations, our assessment is that the initial challenging plan can be achieved. And in our guidance of JPY 1,300 billion, the exchange rate assumption was lower JPY 120 level. Our projection of exchange rate at the fiscal year-end was revised, and it's now upper JPY 130 level. Even after excluding the impact from foreign exchange rate fluctuations, it is in line with the initial plan, and the exchange rate assumption was revised from lower JPY 120 level to upper JPY 130 level. With the weaker yen impact, we often talk about this, that if the yen weakens by JPY 1, the bottom line impact will be about JPY 7.5 billion. So that will be a positive of about JPY 100 billion plus. So our base case is now JPY 1-trillion-and-lower-400-billion level can be projected. On net operating profit in that case, because of the exchange rate impact, JPY 1-trillion-mid-600-billion level is a level that we are tentatively assuming. As we manage our business in the second half in terms of P&L with a weaker yen, positive impact will be felt. But the flip side of that is the U.S. interest rates staying high and the yen is weaker against that background. And that impact is being felt in the P&L. On the other hand, when you think about the balance sheet, with U.S. interest rates staying high, more than initially expected, profitability of the balance sheet has to be considered. We want to make our balance sheet to be more profitable over time. So we feel that we need to look at both the P&L and the balance sheet. So the upside coming from the weaker yen is used partially for loss cutting of foreign bonds, to improve the profitability of our balance sheet. That is also being assumed in the second half. With that in mind and also what is going to be the exchange rate at the fiscal year-end, this is a variable factor. When you take all of these into consideration, for the first half, we decided to keep our financial targets the same and the guidance unchanged. That was the decision taken. Let me supplement. The ROE target of 7.5%, this is something that we want to achieve by all means. Depending on the level of the exchange rate at the fiscal year-end, the required net income level will change. If yen continues to weaken, then a net income of slightly higher than JPY 1.3 trillion will be required. With that assumption in mind, we decided to keep JPY 1.3 trillion unchanged, assuming that we will overachieve it to make sure that the ROE of 7.5% to be achieved. This is our thinking, and that is how we arrived at our decision of not changing our guidance this time around.
Unknown Executive: Next, Mr. Nakamura, please.
Shinichiro Nakamura: I am Nakamura of BofA Securities. I have 2 questions. First, you conservatively kept your guidance unchanged. So I want to ask you about your dividend policy when net income at the end of the fiscal year rises to JPY 1.4 trillion. I understand that you adjusted the 3-month add-on earnings of Morgan Stanley with the change in the equity method accounting date, but this time yen weakened against the dollar considerably, which increased the amount. So do you also look at the FX conservatively and decide on the dividend payout ratio? Or is it just the Morgan Stanley add-on portion that is deducted? What is your approach to the dividend payout policy if there is an upside? That is my first question. My second question is on Page 6, where you show the next MTBP at a glance. It appears that under management policy, growth investment and strengthening corporate infrastructure seem to be emphasized in bold letters. It also says 3 years for pursuing further growth. As PBR approaches 0.9x, are you fine-tuning your thinking such as increasing the number of growth investment deals that can be considered compared to share buybacks?
Tetsuya Yonehana: Thank you for your question, Mr. Nakamura. To your first question on dividend for FY '23, we left the performance target unchanged this time, as I mentioned earlier, considering the management of the second half and the FX fluctuation at the end of the fiscal year. And also kept the year-end dividend forecast unchanged. As I mentioned earlier, in order to achieve the ROE target of 7.5%, the required profit will change somewhat depending on the FX level. So we will consider the dividend level while also taking into account the full year profit forecast. Since the beginning of the year, we have talked about excluding the 3-month add-on portion of Morgan Stanley, as you rightly mentioned. We will examine how the impact of the weak yen should be taken into account as part of our effort to increase dividend progressively every year. In any case, we will consider that as well. So that is the first point. The second point is on the next MTBP. The management policy calls for 3 years for pursuing further growth through growth investment, strengthening of corporate infrastructure and agility while maintaining the existing management policy. Purpose-driven management and ROE focused management as promoted in the current MTBP will remain unchanged. On top of that, we will continue to build on our profit structure, which has been strengthened to a certain degree to date, but still needs to be enhanced in order to capture growth during the next 3 years. To this end, we will focus on growth investment and strengthening of corporate infrastructure, if it contributes to sustainable future growth, although we may not see the results immediately in the next MTBP. But in order to do that, and to continue to uphold ROE-focused management, our existing business needs to be more resilient. This is the underlying premise. Only then can we utilize capital for medium- to long-term growth. In any case, we will do so in a balanced manner. So in conclusion, we have not changed much from our previous approach. We will maintain this line of thinking, build on it, and pursue and capture growth for the next 3 years. We are in the process of discussing specific business group strategies and will present the package we put together at next year's financial results briefing.
Unknown Executive: Next question is from Mr. Matsuno.
Maoki Matsuno: I am Matsuno from Mizuho Securities. I have 2 questions. The first one is about the outlook for the next fiscal year. If the yen continues to weaken and you try to achieve an ROE of 7.5%, your net income this fiscal year will be substantially high. In your next midterm business plan, when you have a tendency to be conservative, is there a possibility that your bottom line in the next fiscal year will be lower? Should we be assuming that possibility? That's my first question. My second question. With the recent amendment in the BOJ monetary policy, I want to ask about your policy in the global markets operations, and Mr. Yonehana, your own outlook for the monetary policy going forward.
Tetsuya Yonehana: Thank you for your question, Mr. Matsuno. The second question, I have to say, I find some difficulty in answering it. Let me start with the first question. Outlook for the next fiscal year, we are still in the process of developing our plan. It is one component of the next 3-year midterm business plan, so it is still under development. Where we will land at the end of this fiscal year, as you said, Mr. Matsuno, it depends on the exchange rate. At the fiscal year-end if the weak yen continues or even if it strengthens a little, but it's still weak, then as I said earlier, in order to achieve the ROE target of 7.5%, we need to have something like JPY 1.4 trillion. So it may be a matter of comparing against that figure. It is also a function of the level of exchange rate assumption for the next fiscal year. So it's difficult to say. I, myself, would like to see that in the next midterm business plan over the 3-year period, we hope to grow as if we are climbing steps. But still, it's under development so I can't say right now. That is my answer. On your second question, our Global Markets operation given the change in the BOJ monetary policy. From around the second quarter, from the end of July, with flexibility added to the yield curve control, JGB long-term interest rates have risen. In preparation for such interest rate rises, in Global Markets Treasury operations, we are conducting hedging operations, mainly with fixed income bear funds. So currently, domestic bonds in the available-for-sale category are mostly hedged. So our position is poised for interest rate rises. As rates rise, what will be the level that we should go in and take our position? Right now, it is difficult to tell. Going forward, with short-term rates normalization and when long-term interest rate rises are expected, at some timing, we will be going in to take our positions. Now about monetary policy developments going forward. This is the prerogative of the BOJ, and it is a matter of how they will decide. Reading the minutes that are made public and their interactions with the media. As we take them into consideration, it seems that a virtuous cycle of rises in prices and wages. Once it is confirmed or observed, that will be the basis for their decision. As for these preconditions, I myself believe that they will be met. So it is a matter of at what timing the BOJ will take that decision. Personally, I think that the mechanism of price rises is quite strong. And given the corporate profits outlook for this fiscal year, I think we could expect a commensurate level of wage hikes next spring. It is just a matter of timing. The rest is up to the BOJ to decide, I think.
Unknown Executive: Next, Mr. Yano, please.
Takahiro Yano: This is Yano from JPMorgan. I also have 2 questions. First, could you put in perspective the one-off factors for the first half? ROE for the first half, by MUFG definition, is 10.65%. Even excluding the JPY 66 billion contribution from Morgan Stanley, ROE was close to 10%, above 9.5% which is the level of ROE as defined by MUFG. If exchange rate has minimal impact on ROE, I would expect ROE in the first half to be very high. What are the one-off factors that led to this? And what factors, if any, need to be deducted? If there is nothing in particular, what is the base case ROE, which is now targeting 7.5%? Probably not 10%, but how high can it be? If you could share with us your view on ROE in real terms, and if it has changed after the first half results. So ROE is my first question. My second question is simple. Are you seeing changes in the drivers for improvement in domestic corporate lending rates on Slide 12? For example, are there any successful negotiations for rate increase in expectation of higher interest rates ahead?
Tetsuya Yonehana: Thank you, Mr. Yano. To your first question on ROE, onetime factor in the first half, as you pointed out, is the inclusion of 15 months' worth of earnings of Morgan Stanley, due to the change in the equity method accounting date. We estimate the amount for the first quarter of FY '23 to be JPY 82.7 billion, based on the exchange rate at the end of September. In terms of the factors weighted toward the first half of the fiscal year, Treasury department realized gains in the first half, front-loading the full year plan, which is approximately JPY 140 billion. So that amount is weighted toward the first half. This is another one-off factor in the first half results. I think your point is that ROE still exceeds 7.5% after taking them into account.
Takahiro Yano: You are right.
Tetsuya Yonehana: But when looking at the full year, considering the treasury adjustments made between the first and the second half, I said that low JPY 1.4 trillion range is the realistic level, including the exchange rate impact. On that basis, 8% is one level. We have not discussed the current ROE level internally, but I think that is about right as one estimate. And to your second question, the driver of the uptrend in domestic corporate lending spreads. We have not had any particular negotiation on lending rates and have not seen base rate shifting from floating to fixed rates in expectation of higher interest rates. There are 2 key factors for this. We have always negotiated to raise even 1 basis point for each loan. And high-margin deals, including LBO finance and real estate finance, are contributing to the increase in lending spread, which has always been the case. There are no particular movements due to the interest rate trends.
Takahiro Yano: I understand well. Thank you.
Unknown Executive: Next is Ms. Kuroda.
Makoto Kuroda: I have a similar question, if you could take time to answer it. In the slide on the bond portfolio, I observed that held-to-maturity bonds have increased and the domestic bonds in the available-for-sale category seem to have decreased. Has there been any change in your investment policy? If you have changed something, can you talk about that? Also a related question. On the right-hand side, there is disclosure of unrealized gains or losses, reflecting hedging positions for domestic bonds. What is included in these hedging positions? Are these [ bare ] investment trusts? Is there anything else, anything to net out, something with duration on the liability side?
Tetsuya Yonehana: Thank you for your question, Ms. Kuroda. About the first question, available-for-sale domestic bonds have decreased and held-to-maturity bonds increased. Broadly speaking, there are 2 factors. General domestic bonds, other than government bonds, including municipal bonds and corporate bonds, when they are rolled over, we switch them to the held-to-maturity category. That's one. And as for JGBs, we need to hold some of them for the purposes of collateral. We hold them as held-to-maturity bonds. We are trying to reduce our interest rate position in the available-for-sale securities, and the required JGBs are held as held-to-maturity bonds. We conducted such an operation in the first half. That is why available-for-sale domestic bonds decreased and held-to-maturity bonds increased. That is on the first question. And the second question, yen bonds figures after reflecting hedging positions. There are 2 types of hedging effects that are reflected in these figures. One is fixed income bear investment trusts. The other is swaps where the hedged item is marketable securities themselves. And valuation gains and losses of such hedging positions are factored in the unrealized gains or losses on domestic bonds, reflecting hedging positions as shown here.
Unknown Executive: Next, Mr. Matsuda, please.
Ken Matsuda: This is Matsuda from Daiwa Securities. I have 2 questions. On customer and Global Markets segments. First, customer segments remain strong, and overseas lending spread is also improving. Please give us a summary of the customer segments for the first half and the outlook for the future. . And the second question is regarding Global Markets. You maintain profit growth, but you mentioned JPY 400 billion earlier. You are reducing your exposure to foreign bonds. But could you give us your outlook on foreign bond investment going forward?
Tetsuya Yonehana: Thank you. Regarding your first question on the strong net operating profits for the customer segment. In the material, Page 8, bottom left graph shows the year-on-year change in net operating profits. The drivers are JCIB and GCIB. For JCIB, foreign currency deposit interest income was quite profitable in FY '22 when U.S. interest rates were on the rise. In addition, lending spreads on domestic and overseas loans have been expanding. So non-Japanese yen deposit interest income and loan interest income are increasing. Furthermore, related fee income is also increasing and driving the growth. GCIB's contribution is equally large, not so much through deposit interest income, but more through overseas loan interest income, O&D and fee income from securities primary. These 2 business segments have been very strong contributors. Looking at the progress in the first half, while I mentioned that the customer segments as a whole achieved over 10% vis-a-vis the first half plan, all business groups achieved the plan. Although some business groups saw a larger increase in profit than others, depending on various factors, all business groups are firmly executing their strategies and showing favorable results. It remains to be seen whether the lending spread, which serves as the foundation, will continue to increase at the same rate as in the past. But I think this uptrend will continue. Regarding your second question on foreign bond investment in the Global Markets. We recognize that the environment is difficult to manage. Medium- to long-term interest rates have flattened considerably, but the yield curve is still inverted. The challenge is how to manage the situation. In this context, our current operations are aimed primarily at controlling unrealized gains and losses while also trying to increase profitability, including trading profits. Given the profitability of the balance sheet, I think we are at a critical stage where it is important to increase profitability while recording loss on sale of foreign bonds to a certain degree.
Ken Matsuda: I understand very well. Thank you very much. .
Unknown Executive: Thank you very much. Since we are coming close to the scheduled time and there seems to be no one else with questions, we will conclude the Q&A session. Before closing, Mr. Yonehana would like to say a few words. .
Tetsuya Yonehana: Thank you very much for your valuable questions. Today, I explained the results of the first half of FY 2023. We will continue our efforts in financial and capital management to achieve sustainable improvement in shareholder value while focusing on our shareholder and investors dialogue. I would like to ask you for your continued understanding and support. Thank you very much for your attendance today.
Unknown Executive: Thank you. Today's conference will be available on demand as an archive on the company hotline website until Monday, November 21. This concludes the web conference on Mitsubishi UFJ Financial Group's Financial Highlights for the First Half of Fiscal Year Ending March 31, 2024. Thank you very much for your participation today. [Statements in English on this transcript were spoken by an interpreter present on the live call.]